Deborah Honig:
Adelaide Capital: Good morning, everyone. Thanks for joining us. We have an update with Microbix focused on their Q3 fiscal financials that they reported this morning. For those of you who have not seen them, you can find them on SEDAR and I believe the website. As always, I don't believe we're going to work off a presentation today, but I promise to get an updated one on the website later today. But as always, this presentation will contain forward-looking statements. If you'd like to know more about those, you can find them on the presentation on the company's website. And with me today, I have Cameron Groome, CEO; Ken Hughes, COO; and Jim Currie, CFO. I think the format will be Cameron is going to do a bit of an overview on the quarter, and then we'll jump into Q&A and then have closing remarks. With all of that out of the way, Cameron, nice to see you.
Cameron L. Groome: Thank you, Deborah. Great to see you as well, and thank you, Ken and Jim also. This morning, we reported the results for our third quarter of fiscal 2025. That's the quarter ended June 30, 2025. And it was a weak quarter, our weakest in about 3 years due to lower sales to 2 clients; one, to our distributor into China; and second, a customer that canceled a major development program that we were supporting. So those were very material impacts on slowdowns with 2 large clients. And as with any smaller business as you're building it, you inevitably end up with some customer concentration. And I think we could have readily withstood a slowdown from one customer, but a slowdown from 2 creates a situation where you can't backfill the revenues quickly enough. Then there's some downstream impacts in relation to that on margins as the fixed portion of manufacturing cost has to be covered across a fewer number of units produced, which pulls down margin and of course, leads to negative figures on the net earnings perspective as there weren't enough sales to cover the $5 million to $5.5 million breakeven point for which we've engineered the business. So admittedly a tough quarter. Our viewpoint is that we'll continue to move past this and resume our growth, although it will take some quarters to move us back through that. We did continue to see double-digit year-over-year growth in our QAPs business if we remove the one customer that canceled that program. And we find certainly that quite encouraging. And the year-over-year sales are not particularly different for the recurring sales over the period, 14.8% versus 14.6%. But obviously, the customer setbacks clipped the growth we were expecting and resulted in a net loss that we were not targeting. Jim, did you want to comment any further about the specifics of the quarter?
James S. Currie: Sure. I'll give a couple of updates, I guess. It was a disappointing quarter, no question. On the revenue side, as Cameron indicated, there was a couple of clients that fell short of expectation due to cancellation and some issues with China. I think there was a little bit of silver lining in that. On a year-to-date basis, excluding those 2 clients, we did see growth of 13% in our QAPs business and actually 34% in our antigen business. So in our other clients, we are seeing growth, which is good news, and we expect that to continue. Margins, again, not where we had wanted them to be. We do have fixed manufacturing costs, which obviously, with the sales levels down, the amount it was, impacted our margins. And the product mix also was unfavorable. And that there's a couple of products that we typically have and their sales levels were lower during the quarter. So there was a few factors that impacted our margin. On the OpEx side, up. We are continuing to invest in our sales and marketing. We are attending -- we did attend additional trade shows, again, trying to promote both of our businesses. R&D spending is up. Again, we want to make sure that we are investing in new products and launching new products on an ongoing basis. We did have a couple of things that impacted. We had OTF funding last year that we didn't have this year. It was about $150,000. Our financial expenses were impacted. Again, there was an amendment to our agreement with FedDev last year that gave us a favorable $166,000 that obviously isn't there this year either. And we had some unfavorable FX losses during the quarter that affected our operating expenses. From a financial perspective -- from a balance sheet perspective, we still continue to be in good shape. Current ratio, 9.73%. Our debt- to-equity ratio is in a good position at 0.3. We've got cash and cash equivalents of $12 million. So we are still a very financially viable organization, and we're looking forward to growth as we move forward.
Cameron L. Groome: Worth noting that balance -- highlighting that balance sheet strength. We've continued to pay down debt. We have repurchased shares, obviously. And between our cash holdings, our undrawn mortgage and our undrawn bank line, we could access up to $24 million of capital if needed. So incurring a few quarters of losses is not going to submarine our business as we continue the build of our revenue- oriented businesses as well as to advance Kinlytic. And I think it's worth noting, we're working very hard to add back sales by new customers and new products and new programs, and that infill will accomplish across fiscal 2026 as soon as possible, and we expect to continue that build. Some of the highlights of matters we've announced over the past quarter, I think noting -- our alliance with the National Center for Infectious and Parasitic Diseases of Bulgaria gives us an access to an incredible library of pathogens that, that organization has been collecting as far back as 1881 and makes us independent of the American-based ATCC, which is often problematic for commercial licenses on reasonable terms. So we have not only access to keep building our native antigen portfolio, we can also use our recombinant and our synthetic biology capabilities to continue doing that. We've also recently announced a line of quantitative, well-characterized reference materials to help assay developers. This is our QUANTDx line. This will sell at lower volumes than our QAPs, but at much higher prices per unit for these well-characterized and quantified materials and get us embedded with our customers that much earlier as they're developing assays as well. And we've also announced some very strategic product elements with our work in H5N1 and our work in COVID as well. Ken, did you want to talk about operations, and I think perhaps without getting too far ahead of our skis, just speak about Kinlytic as well.
Kenneth Hughes: Sure. I mean from an operational side, we continue to build capabilities and ever improve efficiencies. Our enterprise resource planning software is implemented and operating excellently, and we continue to build on our electronic quality management system to improve efficiencies going forward. In terms of investment in capabilities, we've talked about synthetic biology, and we've also talked about the recombinant program, and we're already producing raw materials for our own development of QAPs and antigens going forward. Through operational excellence, we're increasing yields daily in all sorts of different antigen production, which is obviously going to reduce costs. So in terms of the operation of the business as a whole, we're continuing to build capacity and capability, improve efficiency. And of course, that will drop to reducing costs and then driving top line in the fullness of time. So we're in really good shape there. In terms of Kinlytic, not too much to say other than we continue to move forward at the pace described. Work is ongoing. Our relationship with Sequel is excellent. The contract manufacturing organizations for the drug substance, the active pharmaceutical ingredient, if you like, and the drug product, the filled and finished product are underway. Tech transfer is proceeding. It's -- both the CDMOs we're working with are excellent, and there's no change to the time line for 2027 launch that I've discussed many times. We're just advancing that all in a nice little way. If I got ahead of my skis there, Cameron, I apologize, but...
Cameron L. Groome: No, no, all good.
Kenneth Hughes: I'm glad to see [indiscernible] Kinlytic whatsoever.
Cameron L. Groome: Excellent. Good. Well, this is -- I think, as we consider the fundamental progress of the company, this is what we're continuing to advance while managing our finances in a responsible manner. It's impossible to control all elements of our clients' world, but we're continuing to add to our clients and our relationships and our products and programs as we demonstrate in our ongoing continuous disclosure. And that includes engagement with just who's who of industry players on our QAPs, and we'll announce those relationships as they ripen in due course. And some of those are with companies that are logarithmically larger than the customers that we've had that have offense problems in the Q3 that we've just reported. So that continues to drive forward, and we're very pleased about that and continuing to build the real value of the company in a responsibly managed fashion. So unfortunately, this isn't a quarter that will go down as my favorite and nor anybody else's. But we've got to continue to report and disclose both the ups and the downs as we continue building Microbix forward. So those would be my remarks. And Deborah, maybe we can open it up for questions.
Deborah Honig:
Adelaide Capital: Yes. Going back to Kinlytic. I had a couple of questions here from audience members. Can the team walk us through the Kinlytic royalty agreement? Why did Sequel agree to fund commercialization of the biologic? Is there a patent clip to worry about here? Or are there some other factors that can allow for sales for a long period of time? And for whoever wants to take that one, it's the first question, if you get a log...
Cameron L. Groome: Why don't I take a stab at it and then Ken can expand or maybe even correct. Okay. So why did Sequel agree to fund recommercialization of this biologic? Well, Kinlytic is a biologic in a class called a thrombolytic or clot buster, clot-dissolving drug. So I'm sure many of us have had friends, family or personal experiences with blood clots and the life-threatening emergencies that those can create. There are different ways of dealing with blood clots; mechanically is one way, by a drug that actually safely breaks down the structure of a clot is another way. And Kinlytic is a biological drug called low molecular weight urokinase that has some very specific targeting of clots and can dissolve them safely and effectively ex vivo, outside the body such as in a blocked catheter. It might be a central venous catheter administering long-term nutrition, intravenous nutrition or chemotherapies or antibiotic therapy. It could be indwelling dialysis catheter that is implanted for long-term regular treatment of dialysis. And that's the initial market we're going after. And that's been a monopoly for a drug called TPA for a number of years now. But there has been many problems with supply of TPA, the reliability of that supply as well as monopolist type pricing for that. So our view and the view of Sequel is that there's great merit to returning and a great commercial opportunity to returning Kinlytic to the market, initially to the United States market for catheter clearance for clearing blocked biomedical catheters and then subsequently expanding that into other markets, other catheter-related indications and also the systemic indications such as pulmonary emboli, blood clots in lungs for which it also had prior FDA approval. As a biologic, there is, in this case, no patent issue with the product. The challenge in the IP is -- it's in the know-how of being able to produce the product. And similar to the competitive product, which has no patents and no competitors, we see Kinlytic not being readily replicated either, and that hasn't been done anywhere in the world for these products. So that would be a summary. Ken, what would you want to expand upon or refine?
Kenneth Hughes: Yes. I'll start by saying there's no patent cliff for us for the reasons you've given. The only real intellectual property opportunity would be because we're upgrading the system, there might be some process patents, which will actually assist us. But what we're really working with is the regulator we filed the NDA and now the BLA, the biological license application with the FDA that we own. And so that has the detailed trade secrets and know-how, which is required to bring this product back to market. I would say that, yes, there is only one incumbent TPA in the market right now, and that has had some supply issues. And what we are doing is a functional biosimilar to that. It's a different molecule, but in the same indication. However, it is a bio better, in that urokinase is stable at room temperature where TPA requires refrigeration. And for the bigger clots in the indwell, when you're actually looking at systemic clots, urokinase has a reduced propensity by its nature to cause internal bleeding, which, of course, is a major issue for these types of drugs and a major advantage to urokinase going forward. So all -- so the driver to bring this back is the fact that the regulator we filed urokinase was indeed the standard of care for decades in this particular space, keeping TPA quite small in this market. TPA grew when urokinase has no longer been able to be manufactured. We're bringing that manufacturing back through Sequel, and we expect to bring the best product on the market as a result. And so I think that also describes Sequel's interest there. And I'll remind that again that urokinase was the standard of care for decades. There's no chance of a clinical failure in this situation. This is purely a setting up of new manufacturing and bringing the quality management system to bear to satisfy the regulatory requirements, but there's no chance whatsoever of a clinical failure. This product will work.
Cameron L. Groome: Deborah, I see a question there regarding the manufacturing sites for Kinlytic. So why don't I go ahead and answer that? Microbix has historically made the Kinlytic molecule in company-owned facilities. So we very much know what we're doing there. But our facility is dedicated to growing, purifying and inactivating human pathogens. So it would not be viable or would not be acceptable to us or a regulator to manufacture the drug in our facilities. So the choice became do we, our partners fund a greenfield or brownfield dedicated facility to make Kinlytic and have that -- all the overheads associated with that facility carried for several years prior to a refiling and relaunch or would we contract that out to somebody who already has a qualified facility that already has that overhead carried across multiple projects and drive it forward in a less expensive fashion that way. And that's how we've done it. So this is why we refer to the CDMOs, the contract drug manufacturing organizations that are doing the production of the active molecule that's referred to as the drug substance production and then the production of the filled, finished, capped and labeled vials of product that will be formulated with the stabilizing excipients and so forth. And that's the drug product CDMO. So there's 2 major contracts that have been undertaken by our partner, fully funded by them that together certainly total a commitment of more than USD 20 million just for those 2 contracts to drive that. So this is very much a game that we would have been forced to massively dilute shareholders if we were funding -- raising capital along the way to fund this. So instead, we partnered this asset. We've already received USD 4 million as effectively good faith money associated with that. We're supporting with our technical knowledge, the CDMOs and our partner, on moving the product forward, and it will be launched out of those manufacturing sites. Now down the road, there's an opportunity to further modernize manufacturing, moving from roller bottle technology where the drugs have been traditionally made into potentially bioreactor technology and very few companies have more experience than we do in migrating production from those precise manufacturing techniques. So that's somewhere where we'd like to take a role in the future, but we'll see what the art of the possible is as we move forward on that.
Deborah Honig:
Adelaide Capital: [indiscernible] Sorry, go ahead, Cameron.
Cameron L. Groome: I was going to say I see a tongue-in-cheek question there. I don't know if you want me to address that.
Deborah Honig:
Adelaide Capital: You could -- sure. So I was asking if I progress...
Cameron L. Groome: Somebody asks if Toronto -- if Microbix and the Toronto Maple Leafs are related, and I presume this perhaps relates to a late fiscal year disappointment. The direct answer to that tongue-in-cheek question is no. And having been born in Montreal, I'd have to give my heart to the Canadians on that one. And while it may take some rebuilding, we do plan on winning the comp for our shareholders.
Deborah Honig:
Adelaide Capital: So not hitting the golf course...
Cameron L. Groome: No. Definitely -- we definitely haven't hit the golf course.
Kenneth Hughes: Right now, we're aligning with the Blue Jays and that's a much better fit.
Cameron L. Groome: Okay. Okay.
Deborah Honig:
Adelaide Capital: Okay. Good to know. Cameron, just staying on theme because there is one more Kinlytic question for the day. And for any audience members, if you do have a Kinlytic question, I'd ask that you input it quickly. So does Sequel have a sales organization? Or will they sell it to another pharma company? I'm not sure if they mean will they sell like Kinlytic or will they sell...
Cameron L. Groome: It could -- it's a great question. Would Sequel create a sales force to sell this or would they partner it on? Either way, our royalty revenues would be the same. We get a royalty on top line net sales of product. So that wouldn't change the economics for us. I think Sequel has tremendous experience, their leadership in selling to the large hospital chains, the group purchasing organizations, the dialysis chains that would be the major buyers of Kinlytic in the United States. So that would be something they could certainly do directly. I think they'd be more inclined to partner that with specialty pharma companies for Europe, Canada and other geographies. But in the states, I think they're very capable of doing it direct should they choose.
Kenneth Hughes: Yes, they do have deep marketing capabilities in-house in this regard. And as Cameron said, that doesn't affect the outcome for us.
Deborah Honig:
Adelaide Capital: Moving on, let's talk about antigens. So what level of antigen production is required to return margins back to near 60%? And are there any near-term pipeline opportunities that could fill the gap?
Cameron L. Groome: Great question. I think the question probably is broader than just antigen production. I think it would be across both QAPs and antigens. So our controls business and our antigens. To move margins back to 60%, you're likely looking at boosting sales by a couple of million a quarter to move it back to that level. Jim, the fixed portion -- there's a large fixed portion of manufacturing overheads, of course, and where people are fully deployed on that, then those costs are fully absorbed across the SKUs being produced.
James S. Currie: Yes. I mean I think, yes, you're absolutely correct, Cameron. It's both parts. It's not just antigens. Certainly, we've been doing a lot within the antigen business to improve our margins, to improve our production efficiency of our key antigen products. So they're in a much better position today than they were a year or 2 ago in terms of producing better margins and better yields.
Cameron L. Groome: No, thank you. And with regards to pipeline opportunities, absolutely, we have -- I can think of off the top of my head, 5 major clients with products teeing up with us. The question is when do those really start to hit the ground and gain traction, and that will be across the 2026 -- that will be fiscal 2026 that we'll be seeing that impact. And if we hadn't seen setbacks with China and that other customer, everyone would be thrilled with the growth that we're recording, but that growth is being somewhat masked by some customer- specific setbacks.
Kenneth Hughes: Yes. We're adding synthetic biology and common biology capabilities, that's going to lead to a higher efficiency in new products with high margins through operational excellence. I mentioned earlier, we're improving yields and reducing costs, particularly through our electronic quality management system. So we're going to continue building that individual margin gap growth. But at the end of the day, the top line and the bottom line will work together.
Deborah Honig:
Adelaide Capital: Staying on the theme of antigens in China, I have a couple of questions here. I think I'm going to start with this one. Is there any expectation for the antigen business in Asia to recover? If so, do you have a time frame? And is your distributor providing any visibility?
Cameron L. Groome: Great question about China. The primary reason that we've seen for the China slowdown, a lot of the product that we sell into China is related to respiratory -- testing for respiratory infections. And in Asia, there's -- for folks that have traveled there, common areas of buildings are typically not heated. There's also high population density and there is a fair bit of pollution as well. So between crowding, pollution and unheated buildings, a lot of times people have a low-level respiratory infection. And PCR tests are not really good -- are not that quantifiable in the ways they're used there. So they prefer to do immunologic testing, looking for acute phase antibody reactions as really diagnostic as to whether you have an active infection with a clinical impact. And we've been supporting those tests. So there was a lot of what was called white lung or we would call it walking pneumonia in the 2023, 2024 season in China, and we were supporting test production for that outbreak. It was expected by parties that there'd be not too dissimilar levels of disease in the 2024, '25 winter respiratory season, and that did not materialize. So there was very little disease. And it appears that whatever strains were circulating in the prior year, there was residual immunity among the population to those pathogens. So there was a low ebb for the 2024, '25, hence, the test manufacturers didn't reorder our materials to make more tests because they had some unsold inventory. So the question is, what is the shelf life of each individual test makers' tests? And when does that inventory either get consumed or expire? So we, with our distribution partner, are each keeping some inventory ready for a fall and winter 2025, '26 respiratory season, and we're hopeful we'll see some resumption. But I'm cautious to forecast wherever we don't have the direct contact with the individual customers. I hope that helps provide some context.
Deborah Honig:
Adelaide Capital: Definitely. Another question about antigens in China. If you were to replace your U.S. distributor with one from another country, would that make any difference?
Cameron L. Groome: We don't believe this is a political issue. I mean, China always will prefer domestic production. It is a more protectionist market than perhaps our own is. But our products have a great reputation for quality. They have great reliability. And our distributor is an American company owned by an Asian conglomerate, and our product is Canadian made. So no, we don't see switching the flag of convenience on the distributor really is having a meaningful impact on whether or not sales to China resume.
Deborah Honig:
Adelaide Capital: Moving on. Can you expand on the new QUANTDx product line? Who are the end users? And how big is the market? And how much of the market does Microbix think it can capture? Is there any incremental spend required for this launch? It's the first question.
Cameron L. Groome: Great question. A lot to unpack there. With QUANTDx, we've looked in our QAPs product line, the way that's been constructed is there's the amount of signal or organism in the QAPs products is a clinically relevant level. So it's meant to emulate what would be seen in a patient sample. And that could be a relatively low signal for a low normal, what would be the low range that you would see in a patient sample or what would be the usual range you would see in a patient sample. But we haven't certified exactly what or provided the information about exactly what copy number of organisms, for example, would be in there. So QUANTDx is quantifying and providing very tightly determined copy numbers as well as precise information on what strains or characterizations of organisms there are. So for a test developer, that's vital information as they're trying to maximize the sensitivity of their tests, discover where their lower limited detection of their assays are and do all that development work to make sure that they can detect across different strains of organisms. So QUANTDx will be principally sold to those test developers, could be major industry players or labs trying to certify a lab developed test and confirm its function. So those would be the principal determinants. The volumes would be -- and another major area, of course, is manufacturing product release when assay makers then commercialize the QUANTDx materials would also be used for batch lot release testing as part of their QCQA systems. So the QUANTDx product line has both early usage in development and ongoing usage in manufacturing. And those samples would sell for likely 10x or more per unit what a QAPs sample would sell for. Ken, do you want to expand or correct, but those are the intel that I can provide.
Kenneth Hughes: Well, I think that's a pretty accurate description of what is and the opportunity going forward. I mean, I obviously look at the perspective of keeping the team in place to drive the production of these materials for sales going forward. But yes, I think you've covered it off pretty well there, Cameron.
Cameron L. Groome: Okay. No, thanks, Ken.
Deborah Honig:
Adelaide Capital: So another audience question. The focus of the company seems to be product development instead of selling existing products. What is Microbix doing to find new clients and to increase sales on existing product lines?
Cameron L. Groome: Well, we often see our product lines, for example, with our proficiency testing and external quality assessment agency clients, we'll see them pilot a program with us in year 1 after developing a product, and then that is rolled out more broadly to their customer base after that pilot validation. So some of them, for example, that I would draw to, we announced a program in this year on norovirus. So this is often referred to as stomach flu. And antigen-based testing for norovirus did not have validation materials available. We created them. Our partner tested them with a pilot PT/EQA program, and that will now become a regular part of their product offering and recurring revenues for us. With our H5N1 bird flu work, very critical in assessing whether existing tests could pick up this very dangerous and possibly emerging new pandemic strain of flu, we've tested that in a pilot fashion and that will form a regular product offering of that customer. So there's often recurring sales of products. Now we are seeing and the industry is seeing less validation testing. COVID, for example, that's becoming -- from being the focus a few years ago, that's becoming a part of a much broader approach to validating respiratory tests. So COVID sales of ours are continuing to gradually slope down, but our other sales continue to increase, both of existing products and of new products.
Kenneth Hughes: I would say that, I mean, Microbix does development of products, but it doesn't do basic research per se. I mean we're developing products which have practical applications in the short to near term, and we're applying multiple technologies that we validated to do exactly that. So it's not that we're indulging in basic research here, we're actually developing products for sale. I think that distinction needs to be made. So then the whole purpose of that is to drive that sale. So these 2 things exist in parallel and synergize as we move forward. And that's really the business model.
Cameron L. Groome: Yes. I think that's a great point, Ken. We're not flaunting about doing basic research. We are very much a product development company. And our -- when we -- I think of very few instances where we've developed a product that hasn't resulted in commercial sales. The question is at what level and continuing to move that forward and cross-sell even products across multiple customers as well.
Kenneth Hughes: Yes. And we focus on process development to boost yields and reduce costs.
Deborah Honig:
Adelaide Capital: Key roles that the company is looking to hire or fill currently?
Cameron L. Groome: Not that I'm aware of at present. I think we have usually some level of turnover more at the technician level as people's life circumstances change, somebody decides they want to move to a community that's too far to commute, somebody decides to move to a new city. So we do have hires around that, but we've had a very stable senior management team within the organization as we've continued to build. So unless anybody really is retiring in the next 5 to 10 years, I think we'll see some turnover at the top level there. But currently, I think we have a great team in the key roles.
Deborah Honig:
Adelaide Capital: A related question that just came in. Will the QUANTDx product line require a new sales force? And what is the expected sales ramp for the product?
Cameron L. Groome: For QUANTDx, we'll definitely not need a new sales force. This can be very handily detailed by our existing sales and business development group. Where I think it will definitely help us is getting us embedded in customer systems earlier in assay development as people are doing some of that benchmarking of their sensitivity and specificity of their assays, we'll be getting involved earlier via QUANTDx. And I think that will help us also embed our QAPs ultimately as tightly associated with those companies' assays. In terms of quantity, I think we will likely see QUANTDx sales be likely under CAD 0.5 million across 2026, but it will continue to build and likely has similar potential to what we see in our QAPs business, which grew from under $1 million in -- around $1 million in 2019 to $7 million in 2024. So we'll continue to support the program. And as it gets embedded in different companies manufacturing police specs, for example, there'll be a growing annuity stream we expect from QUANTDx.
Deborah Honig:
Adelaide Capital: And I've got a question that's a bit of a blast from the past. Has Microbix had any recent discussions regarding the sale of DxTM with Ontario or other provinces? Any chance that this product line could see sales going forward?
Cameron L. Groome: We continue to have those discussions. There's the talk the talk and the walk the walk by Canadian, and we continue to see a lot more talking than walking. We will continue to pursue that. And we have been selling different DxTM-like reagents, for example, for control [indiscernible] use as a buffer to -- for use in association with our QAPs. So we are producing some product of a DxTM type nature, and we're continuing to explore the opportunities to strengthen domestic supply chains, including tariff-related tensions and geopolitical tensions as well.
Deborah Honig:
Adelaide Capital: A couple of final questions. Are you looking to undertake any cost-cutting measures?
Cameron L. Groome: Yes. We've talked about this. Certainly, last year, when we did a compensation review, there was a recommendation for higher fixed compensation to our executives, which we declined. We felt that was premature given the scale of our business, and we elected instead to increase performance-driven -- bottom line performance-driven variable compensation, which we will not be paying out in the near term, obviously, given the net earnings challenges we're facing in the short term. So that's one area where we proactively protected against any further costs to the company. With regards to cost cutting, I think we'll see whether we need to replace individuals that might depart in the normal course, but we're not looking to make any cuts to headcount. We have really a fantastic team of people delivering, and we're doing a lot of fundamental work in the background, rebuilding cell banks and seed banks, et cetera, and broadening out our product production capabilities using the technical teams. And with regards to facilities and equipment, we're really pretty damn efficient already. So I think we're in the minimum low stable orbit right now with the capabilities that we've built and the facilities we have. So we've talked about this a lot at the Board level as well, and we don't feel that cutting our way into prosperity is the way to go. We want to grow the top line going forward and continue to be able to demonstrate best-in-class capabilities, stability and capacity to prospective clients. So no, we won't be trying to cut our way into prosperity in that regard.
Kenneth Hughes: Microbix is a highly scientific and highly technical company where a lot of expertise resides in the extremely well-trained individuals, which form the framework of our staff. So if you're talking about downsizing in that regard, the danger would be throwing the baby out with the bathwater and not being available to grow as we see the growth going forward in the next little while. We brought together a whole load of different capabilities that's both physical in terms of machinery and reagents, but it's really the expertise of the individual scientists and technicians and supervisors and quality people the testing groups that are so pivotal to the expertise we have, which will drive our growth going forward.
Cameron L. Groome: Absolutely. And as we replace revenues and continue to grow from there, we see there being great opportunities, not just for shareholders, but for our staff. And we've been very clear to staff that our commitment to them remains undiminished and then they continue to have bright futures with Microbix.
Deborah Honig:
Adelaide Capital: Great. And one last question. Would you consider this to be a good time to buy shares with the buyback program, taking advantage of this temporary setback? Is there any conflict with cash preservation?
Cameron L. Groome: We're able to buy back a specific number of shares per day with our share buyback maximum number. And we've continued to buy back with the maximum number, and we've not made any determination to change that. I think the only -- and there's no material conflict with cash preservation on that maximum daily use of the share buyback. I think where we'll weigh matters carefully is the extent to which we'll react to blocks in the share buyback. We've used up enough of our room across 2025 that we don't have a lot of room left in the 2025 plan to react to blocks. But I think going into 2026, we'll likely continue the maximum daily share buyback purchases and determine the extent to which we want to react to blocks based on share price and cash flow outlooks.
Deborah Honig:
Adelaide Capital: Okay. That's all I have for audience questions. Cameron, do you want to give some final thoughts?
Cameron L. Groome: Yes. I mean this is -- it's frustrating, but it's a bit of frustrating what we've seen in having setbacks with 2 large clients. But as we're building the business, you inevitably get a bit of customer concentration risk. And I said to the Board in multiple quarterly reports that we've moved past the point where the setback with a single customer would really sting, but it would take 2 major customers for that to happen. And that's what did happen. And we're going to add much more than 2 new customers to infill those and continue to build our sales geographically by product line and across multiple customers. And we're still committed to growing our sales significantly and moving in as soon as we can back into quarter-by-quarter positive net earnings.
Deborah Honig:
Adelaide Capital: That's good. I mean a tough quarter, but it sounds like the team is taking meaningful steps to position the company for future growth. So thanks for your time.
Cameron L. Groome: Thank you. And absolutely. And again, we have a tremendous level of financial strength as well. And one of the reasons we built that financial strength and maintained it is in order to successfully withstand any short-term setbacks like we've seen here.
Deborah Honig:
Adelaide Capital: Makes sense to me. Well, thank you three for the update. Thanks to the audience for your questions and your participation. As always, if anyone has any additional questions or would like a meeting, please feel free to reach out. Yes. I appreciate everyone's time today.
Cameron L. Groome: Yes. Thank you, everyone, for joining us, and we appreciate everyone's continued support, and we'll be driving to grow our sales and deliver real value, both with our revenue business and with Kinlytic.
Deborah Honig:
Adelaide Capital: Awesome. Thanks, everyone. Have a good day.
Cameron L. Groome: Thank you, everybody. Take care.